Operator: Thank you for standing by, and welcome to Priority Technology's Fourth Quarter and Full-Year 2021 Earnings Conference. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the call over to Chris Kettmann.
Chris Kettmann: Good morning, and thank you for joining us. With me today are Tom Priore, Chairman and Chief Executive Officer of Priority Technology Holdings; and Mike Vollkommer, Chief Financial Officer. Before we provide the prepared remarks, I would like to remind all participants that our comments today will include forward-looking statements, which involve a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The Company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings, and we encourage you to review these filings. Additionally, we may refer to non-GAAP measures, including but not limited to, EBITDA and adjusted EBITDA during the call. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our press release and SEC filings available in the Investors section of our website. With that, I would like to now turn the call over to our Chairman and CEO, Tom Priore.
Thomas Priore: Thank you, Chris, and thanks to everyone for joining us for our fourth quarter and full-year 2021 earnings call. As you saw in our earnings release, we continued our positive momentum with a strong fourth quarter, generating exceptional year-over-year revenue and profitability growth. On a consolidated basis, total revenue for the quarter increased 36% to $144 million. Our topline strength drove  increase in gross profit to $48.7 million and a roughly 81% improvement in adjusted EBITDA to $32.9 million. Importantly, these results were underpinned by a 320 basis point expansion in gross margin to 33.8% despite the drag from the reduction in our Specialized Merchant Acquiring segment noted in our quarter three earnings call. Our strong growth trends have continued through the first quarter as well. For the year, revenue increased 27% to $514.9 million. Gross profit grew 22% to $155 million and consolidated adjusted EBITDA rose 37% to $96.3 million. Mike will go into the segment level detail in our fourth quarter and full-year results shortly. Now prior to Mike's remarks, I'd like to spend our time to provide details on our current positioning in the market and a powerful platform at Priority. It is poised to continue to deliver market-leading results. This slide presentation is also available for download on the IR portion of our website and is embedded in the webcast link. During our earnings call earlier last year, we said 2021 would be regarded as Priority's year of transformation and one in which we realize our mission to emerge as a payments powerhouse with a single platform to collect, store and send money that delivers differentiated products to our existing verticals. I am excited to say that our transformation has been achieved. Starting with Slide 3. Let's look at some of the high-level stats of Priority and the strength of its performance through the recent years and how it's poised to perform in 2022. Our native platform efficiently serves the SMB, B2B and enterprise payment verticals at scale, supporting over 240,000 active merchant accounts, more than 340,000 active bank deposit accounts and processing total payment volume of over $90 billion with nearly 88% derived from integrated software products. Over the past three years, Priority has produced annualized growth in revenue of 18% and EBITDA of 31%. The rates we expect to exceed in 2022 with revenue between $650 million to $664 million and EBITDA of $145 million to $150 million. Importantly, driving our strong topline and bottom line growth has been accomplished with relatively low CapEx spending of approximately 8% of EBITDA. Our operating efficiency is underscored by an already compelling gross profit margin that today is 62% of adjusted EBITDA and poised to climb. Further, this efficiency pulls through to free cash flow at an impressive 55% of adjusted EBITDA. These results reflect that Priority has been built with intention and built to last. We believe will ultimately be rewarded as the market recognizes that we are valued at a meaningful discount to our peers who perform at lower growth trajectories and possess less robust technology solutions. Our high growth and outstanding operating margins are driven by the elegance of our native technology core. As they say, a picture is worth a thousand words. I hope this depiction helps to codify the unique commerce engine that we've constructed that provides a single platform to collect, store and send money, combining robust payment functionality with Banking-as-a-Service capability to monetize merchant networks we touch. Upon our Priority Passport Platform, we deliver a full suite of proprietary payment and banking solutions into the SMB and B2B markets and provide enterprise partners the ability to embed payments and banking features into their core software offering or legacy, non-digital operating platforms to monetize their payment networks. As evidenced from the number of merchants and deposit accounts we support as well as the rate of growth we produce, our architecture is simple, scalable and secure. It supports all models for merchant acquiring, including payment facilitation, ACH, check and wire payment methods and has full commercial card issuing capabilities and will soon support consumer debit card issuing and global payment processing. Importantly, it's all available with a rigorous compliance capability that includes nationwide money transmission licenses. Today, our SMB solutions serve over 1,250 reselling partners that board on average in excess of 4,300 new merchants per month. Over 80% of the revenue in this channel is from integrated or semi-integrated software products. Our flagship product MX Merchant currently supports over 240,000 merchant accounts and $62 billion in annual card processing volume. Our fast-growing B2B Payment segment is consistently winning accolades and new partner channels on the strength of CPX as the recently announced SYSPRO and Premier Healthcare Partnerships Demonstrate. These two partners alone represent combined addressable payable spend of $85 billion for us to harvest over the coming years. And our contracted pipeline continues to grow. Simply stated, Priority's B2B business line is poised for even greater acceleration from the 46 financial institutions we support today and the strong adoption trends that have enrolled 75,000 suppliers onto the platform to date. Finally, our Enterprise Payment segment that provides embedded payments and banking solutions to modernize legacy platforms and accelerate software partner strategies to monetize payments is already supporting over 20 integrations, managing over 340,000 deposit accounts and over $0.5 billion in deposits. This segment is consistently piling up wins as new partners recognize Priority as the payments powerhouse with a unique platform built for the future of commerce, where they can leverage our technology for payments and banking features without the burden of dealing with payment operations, risk management and compliance considerations. At this point, I'd like to hand over to Mike, who will provide further insight into our performance during the quarter and the year, along with current trends in each business segment.
Michael Vollkommer: Thank you, Tom, and good morning. Our MDA included in the Form 10-K provides a discussion of our comparative full-year results. The link can be found on our website. My comments will focus mainly on the fourth quarter results. As Tom has already covered, we had a strong fourth quarter financial performance with diversified growth across all business segments. As I review the segment level contribution to these consolidated results, please refer to the supplemental slides for further details on the numbers. Revenue growth was strong across all segments. SMB payments revenue of $121.5 million increased 19.7% driven by bankcard dollar volume growth of 25.1%, 22.3% growth in transactions and 2.3% growth in average ticket. Average merchant count of over 240,000 in fourth quarter 2021 grew 8.4% over fourth quarter 2020, and specialized merchant acquiring began renewed merchant growth in the quarter which has continued into 2022. Merchant boarding trends were strong during the year. New monthly merchant boards average nearly 4,500 in 2021 consistent with the historical monthly average ranging from 4,300 to 5,000. B2B payments revenue of $5.4 million increased 38.5%, driven by the revenue momentum we mentioned in our third quarter earnings call. In CPX, the strong volume trends within existing customers and our growing sales pipeline conversion drove a 73.3% growth rate. And in Managed Services, the new supplier enablement program drove a 20.8% growth rate. Enterprise Payments revenue of $17.1 million increased $16.4 million from $0.7 million. CFTPay acquired in September 2021 drove this growth. Gross profit of $48.7 million increased 49.8%. The SMB gross profit of $30.5 million increased 0.7%. Specialized merchant acquiring gross profit declined $5.8 million due to the temporary pullback from mid-year risk pairing actions. Now excluding that temporary decline, SMB gross profit increased 26%. B2B gross profit of $2.6 million increased 30% and enterprise gross profit of $15.6 million increased $15.5 million from $0.1 million. Gross profit margin of 33.8% increased 320 basis points. The decline in SMB margin was driven by the temporary pullback in specialized while the results of enterprise overcame this decline and drove overall margin expansion. Operating expenses of $35.8 million increased 36.6%. Salaries and benefits of $12 million increased 22.2%, driven by the Finxera acquisition and headcount growth. SG&A of $6.2 million was relatively flat, decreasing 4.6% from $6.5 million. And depreciation and amortization of $17.6 million increased $7.7 million from $9.9 million driven by the 2021 acquisitions. Operating income of $12.9 million increased 108.1%. SMB operating income of $10.5 million decreased $2.1 million due to the temporary gross profit decline of $5.8 million in specialized. Excluding that decline, SMB operating income increased $3.7 million. B2B operating income of $0.5 million increased $1 million from a loss of $0.5 million in Q4 2020, reflecting higher gross profit and lower operating expenses. And enterprise operating income of $5.2 million increased $5 million from $0.2 million in Q4 2020. Corporate expense of $3.3 million decreased $2.8 million. The decline reflects the impact of the timing of certain expenses and comparative fourth quarter incentive accruals. Adjusted EBITDA of $32.9 million increased 80.8%, bringing full-year 2021 adjusted EBITDA to $96.3 million, an increase of 37% and in line with our full-year guidance. I'll just note that in other income of $7.8 million includes $7.6 million net gain from the disposition of our investment in PayEx. Now this gain is not included in our adjusted EBITDA. Interest expense of $11.9 million increased $2.5 million higher debt levels, driven by our 2021 acquisition financing were only partially offset by lower borrowing rates. Total debt of $631.9 million at December 31, 2021, was $249.9 million higher than $382 million at December 31, 2020. During the quarter, we reduced debt by $16.6 million through a $15 million revolver repayment and a $1.6 million scheduled amortization payment. Net debt was reduced by $19.9 million with a $3.3 million increase in unrestricted cash. We are well below our total net leverage ratio covenant of 6.5x with a total net leverage ratio of approximately 4.3x at December 31. We will continue to apply free cash flow to reduce debt and leverage. Senior preferred stock on our balance sheet of $210.2 million at December 31 is net of $23.5 million of unaccreted discounts and issuance costs. The preferred dividend of $7.4 million in the quarter comprised of $3.4 million of cash and $4 million of PIK is supplemented on our income statement with $0.8 million accretion of discounts and issuance costs. Before turning the call back to Tom, I'll review our full-year 2022 financial guidance. Our outlook is strong and full-year 2022 guidance is reflective of that. Revenue is forecast to range between $650 million and $665 million, a growth of 26% to 29%. And adjusted EBITDA is forecast to range between $145 million to $150 million, a growth of 51% to 56%. Our results are forecast to strengthen in each successive quarter of 2022, reflecting the increasing build of positive trends in each of our segments. We forecast a free cash flow conversion rate of approximately 50%. The resulting free cash flow of $72 million to $75 million will be applied to strategic investment, any unplanned non-recurring expenses and net debt reduction. Now I'd like to turn the call back over to Tom.
Thomas Priore: Thank you, Mike. I believe that our performance through COVID, our full-year 2021 results and our outlook for 2022 reflect that Priority is a uniquely efficient payment platform. Its purpose built to monetize merchant networks for our partners and create value for our shareholders. Simply put, Priority has been meticulously curated over the past three years to be prepared for the future payments and the global opportunities represented in SMB, B2B and Enterprise Payment segments. Our platform is efficiently built for scale as evidenced by the consistently low CapEx spend of approximately 8% of adjusted EBITDA needed to drive our high growth. Our technological efficiency frees our business lines to focus on driving revenue growth from our diversified portfolio of assets consistently in the high teens annually with 60-plus percent adjusted EBITDA margins as a percentage of gross profit. Importantly, our leadership continues to drive results and prove itself by overcoming challenges as we did through the COVID period and rapidly changing market environment as well as identifying opportunities ahead of its peers, as evidenced by successes like the lucrative RentPayment and recent PayEx transaction. Despite the difficult to reconcile peer valuation discount, we are quite confident that a combination of our scalable payments and banking infrastructure, focused and dedicated distribution engines and market-leading product offerings will continue to drive winning results to our shareholders. I want to thank our team at Priority for another excellent quarter and year. We are delivering on our mission to build innovative payment solutions that power modern commerce. Operator, we'd now like to open the line for questions.
Operator:  Our first question comes from the line of George Mihalos of Cowen. Your line is open.
George Mihalos: Hey, guys. Good morning and thanks for taking my questions. I guess first question, Tom, can you talk a little bit heading into 2022, kind of the progression in volume that you saw on the SMB side, meaning any impact from Omicron and how maybe it's receded as we kind of gotten to February. And then also wanted to ask you the pricing changes affected by the networks. Is that neutral or potentially an opportunity for an acquirer like yourselves?
Thomas Priore: Yes. Thanks, George. I appreciate the questions. From a volume standpoint, there was a modest, very modest pullback in Q4 related to Omicron, but we've had such a robust sales pipeline and adoption of our technology. We didn't see it impact our overall trajectory because some of the drop, and I'll call it the existing merchant base was more than offset by what we've got going on the new sales side, but we definitely did see some same-store drop. But it was in the, call it, the low single percentage points is the way I would characterize it. You're spot on with regards to – the networks have not made any adjustments to interchange in the last few years because of the pandemic environment. They are pushing through one of the largest ever spring releases. That does present opportunity for margin expansion among processors, and we'll certainly be looking for opportunities and that will be – that presents some upside we feel to our estimates, and that will start to flow through after the April spring release.
George Mihalos: Okay. That's super helpful. Really appreciate the color there, Tom. And then Mike, if we're looking at interest expense, can you maybe help us in terms of modeling that? I know that's a topic that's obviously come up with a lot of your peers just given the tightening cycle with the Fed. Any color you can kind of provide there or sort of rule of thumb to help us maybe model that line would be appreciated.
Michael Vollkommer: Yes, we have a base. It's a LIBOR plus and we have a base LIBOR at 1%. So these modest interest rate increases won't affect our borrowing rate this year. And we expect to – we will have – the revolver will be gone shortly as we apply available cash and free cash flow to that. And then we'll be in a situation where we'll be building cash. So our net debt will be going down. But to take down any borrowings, it would have to be the term loan, and that would come out of the back end of the amortization schedule. So we'll see.
George Mihalos: Okay. That's helpful. Just last question, the free cash flow conversion kind of up to 50%. Is that how we should be thinking about it going forward? Is there also sort of more wood to chop there where that could even go potentially higher to kind of look out into the future? Thanks.
Michael Vollkommer: That will go higher as we – as EBITDA grows, right. And because we will be a taxpayer this year as we turn profitable. So that will be a floor, I would say. There's room to move that up and it will move up as time goes on.
George Mihalos: Okay. Thank you.
Operator: Thank you.  Our next question comes from the line of Brian Kinstlinger of Alliance Global Partners. Your line is open.
Brian Kinstlinger: Great. Thanks so much. Nice quarter. Congrats on the Premier one, I'd love to dig into it a little bit. Can you talk about specifically how you see the network rolling out in the onboarding of their members and what that long-term opportunity is for you in terms of payment volume?
Thomas Priore: Sure. So as you may know, Premier is one of the largest group purchasing organizations in the health care space. And we've been selected as an automated payables partner on the strength of CPX and the elegance of that product for automated payables. So that market alone has a north of $50 billion addressable spend that will be in the process of harvesting. Look, it's a multiyear effort, as you can imagine. We'll be in the process of forming relationships with their sales force as well as through those relationships with the financial leaders at their respective organizations to adopt the solutions we provide for monetizing supplier networks. And what I think people are recognizing about our offering is there's a lot of folks out there doing virtual card, but very, very few that have the breadth of solutions that we offer through not just virtual card, but physical plastic for purchases, ACH tools with dynamic discounting, ACH plus and also the ability to handle check and other wire solutions on a single platform. So it's really on the strength of the various modalities and the simplicity of our software to use that we're seeing the wins start to pile up. And the ones you've seen us recently report are just two small examples of what we have in the pipeline.
Brian Kinstlinger: Is there any idea if ultimately Premier will mandate its customers adopt or its suppliers adopt the payables platform over time?
Thomas Priore: Look, I can't foresee that. I think that's – you're hard pressed to do that as a GPO. There are organizations within their network that have their own bank relationships, right. So we're certainly competing against some of those bank treasury relationships and evaluating what other factors may go into the decision of a particular hospital group to use Priority versus some of the solutions their bank may offer or another party that they are in touch with directly, right. So it's a competitive landscape as you well know. But the fact is you got to be in it to win it, and we're getting deeper and deeper in it because we've got a product that other folks don't have. And we're confident we'll put runners on base now that we're up to bat with Premier and other large networks that are recognizing this solution they need and they want the best people at it.
Brian Kinstlinger: Yes. And sorry, I'm going to focus a little bit more on this business because the valuations have been super high in the M&A space. So as we think about the payables business, can you – we saw it finally begin to ramp here, it looks like in the quarter. Can you talk about how you see that playing out over the next 18 months with some big metrics you gave us in terms of the number of suppliers you're working with, a number of financial institutions. Just give us a sense of how we should expect that ramping over the near and the long-term.
Thomas Priore: Let me first have Mike comment on just how we're thinking about the volume growth and how that will convert into revenue in the channel. And then I can speak more specifically about just kind of, call it, supplier adoption and some of the buyer adoption as well and FI adoption, if you will.
Michael Vollkommer: Great. We'll have a little bit of chunkiness as the customers convert over to that. So it's not going to be like a smooth growth rate, but we are certainly in a growth profile right now. And when Tom will probably talk about a couple of new partners that we have in there, the volume that's available to us is enormous. And it's just a matter of converting that over but we're certainly in double-digit teen growth in this business conservatively speaking going forward this year and the early quarters moving on.
Brian Kinstlinger: When you say teen growth, is that year-over-year? I mean, you just grew 73% year-over-year. So teen growth doesn't – are you talking to each quarter sequentially? What are you talking about teen growth?
Michael Vollkommer: Yes.
Brian Kinstlinger: Okay.
Thomas Priore: Yes. Brian, we expect the CPX growth to be, I would say, very consistent, if not exceed last year's. And Mike commented towards this. Look, these are – as you might imagine, right, when you start to penetrate a large customer spend file, right, these are very chunky volume adoptions, right. They come in large blocks. So what we're intending to do and what you'll see from us going forward is as we see the conversion of that pipeline, we will update the forecast quarterly so that we have high degree of certainty around the revenue contribution of that converting pipeline. But we do expect it to be very much in line on an annualized basis with what you saw last year, if not a good bit higher.
Brian Kinstlinger: Great. Last one for me. As I look at the Brink's partnership, it sounds like a unique opportunity. But I guess on a bigger picture, I'm wondering how you are – what your strategy is to approach these large strategic partners that could obviously add bigger chunks to your business as they adopt.
Thomas Priore: Yes. Super insightful question. Right. And look, we've tried to explain that in the greatest detail we can without speaking about a partner's business. But if you look at the enterprise segment and what it delivers, we're embedding payments and banking features into not just software partners like MRI and a host of others that are presently integrating to our platform. But what we describe as like the partners, legacy businesses that are looking to modernize. So let's just use Brink's as a hypothetical example. They're a leader in – if you think of them and a large part of their business has a cash clearing business. Well, we have an ability through banking-as-a-service to provide a digital solution to all of their customers for the movement of that cash, if you will, because we can credit it into an individual account and ledger it across all of their merchants and get that into customer accounts faster or at least credit it to their account faster. So there's a really exciting opportunity, we think. And we are moving in this direction to ignite these legacy platforms with digital banking and payment solutions. Again, using Brink's as a hypothetical example, incredible brand, global. They're certainly – they've been very clear about their desire, and I think they call it their 2.0 strategy to create digital payment solutions. Well, I don't want to speak for Brink's, but if I'm going to do that, I'm going to do it with a partner that gives me the depth and breadth of scale and the functionality that is turnkey, where I don't have to do a lot of work to set up that digital infrastructure within my business to not only move cash but to start to move other forms of digital currency among my customer base and you don't capture new market share. So we think you bring up Brink's. We obviously have announced a partnership that we're implementing with our merchants to add cash, digitized cash, if you will, for our small merchants. And we are going to work collaboratively with partners like that because – we think there's a great fit for what we offer and the merchant network they sit on to leverage combined solutions. So I think you're pretty forward-looking with the question and hopefully, I've given you some insight as to how we're thinking about it. But we're – we think that's just one such example of the type of business we can help to accelerate with the tools that we have.
Brian Kinstlinger: Great. Thanks so much.
Operator: Thank you. Our next question comes from  of LC. Your line is open.
Unidentified Analyst: Thanks, Tom, and thanks, Mike. My first question is on  so your segments have changed. I was wondering if you could describe the strategy behind the new business alignment?
Thomas Priore: Sure. I'm sorry, you broke up a little bit there, but if I can just make sure that I understood your question accurately is that we kind of have outlined new business segments and explain some of the logic around, is that correct?
Unidentified Analyst: Exactly, yes, a strategy behind the alignment that's right.
Thomas Priore: Yes. I mean, look, we've – as I think everyone on the call knows we had a segment we considered integrated partners that was software companies that we typically owned. So slightly different than kind of our core offering in SMB or B2B, but we're integrated for payments, and we're leveraging our tech. And we've harvested a few of those. We had a successful MRI transaction that monetize RentPayment and maintain them as now an enterprise partner using our payments and banking solution and our payment facilitation solutions. PayEx was a company that we owned a minority stake in that  bought for $115 million, we helped accelerate the strategy of that team. So it just made sense as we monetize a few of them to then – for two factors. One, take a look at the other solutions we had that were in that segment, and they were all being delivered to the SMB channel. So we felt it was cleaner to organize them under our distribution and the markets that we're selling into. So eTab, PayRight, eTab that goes after the hospitality and curbside takeout segment for retail and hospitality. But is really an SMB solution. Similarly, PayRight, which is really driven toward the smaller provider, both in health care and home care, again, kind of an SMB focus. So we reorganized that under our distribution models and the market segments we attack. So our proprietary products that are being delivered into SMB and B2B, B2B was really quite simple. The markets – we thought of it as commercial payments. We think it's more expensive, but the market uses the nomenclature of B2B payments. So we just align with the market. Nothing more complex than that. But our enterprise segment is frankly where we see a major future for Priority, and we wanted to segment that because those customers are really interfacing with us in a different way. Whereas our proprietary products are leveraging the banking and payments core that Priority Passport offers with, again, our own prop products. These are businesses that are embedding those features into their products or embedding our capabilities into their business infrastructure, like the example we just talked to of the hypothetical example of Brink's or someone like that. So this was a much more logical framework to describe the business segments. And it's been – I can tell you this, it's been a very successful way to sell as you can see from the volume revenue growth and pull through to bottom line that we've just adopted with customers. So it's selling. That's for sure. And I think it does because it's simple, it makes sense and we execute.
Unidentified Analyst: I see. I have a couple more questions as well. I know you hinted at some international growth in the past. I was wondering if you could provide an update on how you plan to move offshore?
Thomas Priore: Yes. Look, we – those existing partners we have – everyone knows about MRI. So we talked about Brink's, right, they're partner now, they're international. We have existing partnerships that are – that they just need international solutions. So we're going to provide them. We've already begun the process of creating the connections. I think as we've spoken about in the past, we have direct connections into all of the networks, MasterCard, Visa, American Express and Discover. We have the ability to authorize transactions anywhere on the globe. And now we're just connecting in our ability to settle those transactions in the local markets. So this has always been on the path, and now it's time to do it.
Unidentified Analyst: Great. And then the last question is given the current macroeconomic factors, specifically inflation, supply chain challenges and labor shortages, I am wondering what kind of impact that's having on your business?
Thomas Priore: I appreciate the question. From a macroeconomic standpoint, one of the things we, I think, did very intelligently first, I'm going to talk about workforce. We've – and in the acquisition of Finxera, we have an incredible team in India. That not only has a very talented group in Chandigarh, India for technology and payment operations, but also has a network that extends to other countries within that region. So our access to workforce outside the United States enables us to be thoughtful about the way we build our workforce, which I think as everyone can understand who's run a business, your people are your most expensive resource. So there is a good bit of, I'll call it, fintech inflation in personnel that we're able to reward our great people wherever they are in – on the globe to have a very efficient team to operate and build technology. And you can kind of see that, as I said, in our gross profit margins, right, manage the business really efficiently. So that's one thing that hasn't, I think, impacted us as much as it has some others. From just a standpoint of inflation on consumer spending and other trends, it's a double-edged sword. It kind of helps us in some regard, but because just things are more expensive, people tend to finance them using their card because they need more time to pay. And that is a benefit to us being in the card processing space. The downside to that is we're also – you see less spending, right. So we haven't seen that affect us as yet. But again, I think that's largely a result of the success of our products we sell. So we're just seeing volume growth because our new sales continue to exceed anyone who leaves our platform or goes out of business. And we don't expect that to waiver. In fact, if anything, we're optimistic we'll continue to accelerate. The last thing I would comment on because, obviously, it's been a big part of the news is just what's going on in the Ukraine. Look, we don't have presently business that is disrupted by the events of the Ukraine. We don't have any workforce there. We don't have vendors that are meaningfully impacted. We don't have processing volume in Russia. So that hasn't had an impact to us, but I want to make sure to note it, just given the question that you asked. The last thing I would note, and look, we think this is a reason for optimism as well, we have made no kind of mistake about it. We've been very clear about what we think is an important strategy to build early stage and kind of early cycle assets and also countercyclical assets. We are a major technology and solution provider to the consumer finance space. That segment is seeing incredible growth because of consumer that now needs more financing and also needs – as that tends to occur on the back end of that needs more assistance working out of difficult financial circumstances. And we have assets that will perform very well in those conditions, and they're a natural hedge, if you will, to some of the core payments. So we feel great about the segments we're in across the board and their growth prospects. Our forecast and guidance reflect that. And we're optimistic as we continue to perform through the year that we can – that we can pull through at an even faster rate than we've projected.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. At this time, I'd like to turn the call back over to Tom Priore for closing remarks. Sir?
Thomas Priore: All right. Well, thank you, everyone, for the time you've afforded us this morning to learn about where Priority is headed. The completion of a multi-year transformation to be a single platform to collect, store and send money that has a capability not just operate at scale, but soon to operate globally. We're very excited about what the future holds for us. We hope you are as well and are appreciative of your attention and support. Hope everyone has a great day and enjoy St. Patrick's Day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.